Operator: Good day and welcome to the Fourth Quarter and Full Year 2020 Earnings Release and Conference Call. All participants will be in a listen-only mode. [Operator Instructions] I would now like to turn the conference over to Brian Corales. Please go ahead.
Brian Corales: Thank you, operator. And good morning, everyone. Welcome to Magnolia Oil & Gas’ fourth quarter and full year 2020 earnings conference call. Participating on the call today are Steve Chazen, Magnolia's Chairman, President and Chief Executive Officer; and Chris Stavros, Executive Vice President and Chief Financial Officer. As a reminder, today's conference call contains certain projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. Additional information on risk factors that could cause results to differ is available in the company's annual report on Form 10-K filed with the SEC. A full safe harbor can be found on Slide 2 on the conference call slide presentation with the supplemental data on our website. You can download Magnolia's fourth quarter 2020 earnings press release, as well as the conference call slides from the Investor Section of the company's website at www.magnoliaoilgas.com. I will now turn the call over to Mr. Steve Chazen.
Steve Chazen: Thank you, Brian. Good morning, and thank you for joining us today. My comments this morning will focus on how we plan to employ the characteristics of our business model to drive shareholder returns and update us on – update you on our Giddings drilling progress and activity. Chris will review our fourth quarter and full year results, including year-end 2020 reserves, provide some additional guidance before we take your questions. Starting the company a few years ago, we developed a business model with characteristics that we thought would appeal to generalist investors. The model was supported by maintaining low financial leverage, whilst also giving a disciplined capital spending sufficient for moderate growth, while generating significant and consistent free cash flow and strong pre-tax margins. We limit our capital spending to within 60% of our EBITDAX, which also helps instill financial discipline throughout the organization. Chart on Slide 4 of the conference call presentation shows how we've allocated our operating cash flow since our inception in 2018. While drilling completion capital has averaged 60%, most of the remaining 40% of the unallocated cash flow has been used to enhance value on a per share basis, either through acquiring small bolt-on oil and gas properties or repurchasing our shares. We've also built a significant amount of cash over this period. Last quarter, I indicated that we end the year with a cash flow balance around $200 million. Since this has now been reached, we no longer need to continue to build cash. And as a result, more cash will be available for share enhancing activities. The guiding principles in our business model, limiting drilling, completions and infrastructure spending to within 60% of adjusted EBITDAX will not change. We expect that most of the unallocated cash flow will continue to be used either for acquiring small bolt-on property or repurchasing Magnolia shares. In the absence of acquisitions, the available cash flow would be used to repurchase our shares. We repurchased 2.4 million shares in the fourth quarter, approximately 1% of our total shares outstanding. We plan generally to continue this space of share repurchases, which would reduce our overall share count by 4% each year. Aligned with this plan, our Board recently increased our share repurchase authorization by an additional 10 million shares and we currently have approximately 13.5 million shares available for repurchase under the authorization. Just for clarity, we view the 1% is not the cap in this – but it could be, depending on the stock price and how much cash we have, it could be more than the 1% per quarter. Addition to these value-enhancing activities, Magnolia intends to begin paying a cash tip against dividend in mid-2021, the first small, fixed, semi-annual dividend we paid after announcing our second quarter results. The second payment will include the fixed dividend, that's a variable component to be paid around this time next year based on the full year 2020 financial results combined with the current business outlook. The total cash dividend outlays will be capped at 50% of annual reported net income. Distributing cash dividend this time demonstrates our overall confidence in executing our business plan and the strength of our underlying assets. The dividend is also additional element of our plan to focus on share enhancing activities. This will continue to allow us to deliver moderate production growth of spending within 60% of our cash flow of providing flexibility to allocate the remaining unallocated cash flow in a manner that is most accretive to shareholder value. Turning to our operations, we made significant strides last year in advancing the Giddings asset from appraisal mode to a multi-well pad development. Turning to Slide 5 of the presentation, our Giddings asset reached record production levels in the fourth quarter. Total production in Giddings increased 39% with oil production rising 70% on a sequential quarterly basis. Results in the fourth quarter are still in the early stages of reflecting how a development would look like for this asset. Efficiencies for both drilling and completing wells, continues to improve resulting in faster cycle times and lower overall well cost. Today we have drilled two or three wells per pad. Going forward our plans to increase some pads to four wells, and we may consider a few larger pads. This should help continue to improve efficiency in the field. We expect total well cost to average approximately $6 million during this year. Importantly, well productivity continues to improve the six new wells we brought online in the fourth quarter in our initial core area performed better than the average of the previous 14 wells drilling in this area. With total of 20 wells online for last 90 days, in the 70,000-acre initial core area. These wells have average 840 barrels a day of oil and 4.7 million cubic feet of gas a day. This production rate has increased by 4% from the prior level of 783 barrels of oil per day, and 4.6 million cubic feet of gas per day for the previous 14 wells. Additionally, we completed two wells in Giddings located in an area about 20 miles away from our initial core area that were expected at the time to be gassier. These wells had an average 90-day production rate of 543 barrels of oil a day and 7.3 million cubic feet of gas per day. While these wells proved to be gassier the amount of oil production was better than we had originally estimated. This area could provide for additional high return development potential over time. Although product prices have improved significantly from 2020 levels, the discipline policy around our capital spending remains unchanged. We're currently running one development rig in the initial core area, Giddings. Improved efficiency of Giddings has provided us with the ability to drill at a pace of 20 to 24 wells per year. This is basically twice what we were running last year. We also plan to complete 10 operated ducks in the Karnes area mainly during the half of the year. And are expecting a modest increase in our non-operated activity in Carnes. Our 2021 DNC capital is expected to be between 50% and 60% of our adjusted – EBITDAX, although at current product prices spending is likely to be in the lower half of this range. I think I could say that we're running way behind that 50% level this quarter, and probably into the second quarter too. So, as we build out in the back half of the year, it's going to be difficult to catch up. In summary, we ended 2020 with a very strong operational and financial performance, providing us with solid operational momentum that should benefit us during 2021. We are optimistic on the outlook for full year of dissolvement at Giddings. We remain focused on activities and enhanced our per unit metrics, while further lowering our F&D cost, and we're reducing our G&A costs, improved our pre-tax margins and earnings per share. Our plan to spend 50% to 60% of our adjusted EBITDAX on drilling, completing wells is expected to result in mid-single digit year-over-year production growth. The combination of mid-single digit organic growth and reducing our share count by 4% a year, which result production per share growth of approximately 10% per year. That doesn't include the dividend payment. I'll now turn the call over to Chris.
Chris Stavros: Thank you, Steve, and good morning, everyone. As Steve mentioned, I plan to review some high-level points from the fourth quarter results and convey some thoughts around our year end 2020 proved reserves and provide some guidance for 2021 before turning it over for questions. Starting on Slide 6. Magnolia’s fourth quarter 2020 financial and operating results were very strong. The company generated total adjusted net income of $39 million or $0.15 per diluted share and well ahead of consensus estimates. Fourth quarter reported net income was $0.16 a share. Our adjusted EBITDAX was $98 million in the fourth quarter with total drilling and completion capital of approximately $40 million. D&C capital represented 40% of our adjusted EBITDAX for the quarter. And as a percentage was better than our earlier guidance due to stronger production, higher product prices, improve D&C costs and Giddings and lower non-op capital. D&C capital for the full year of 2020 was 58% of adjusted EBITDAX and in keeping with our business model, despite the much weaker product prices during the year. Magnolia started bringing wells online during the fourth quarter after an eight-month hiatus due to much weaker product prices last year. Total fourth quarter production grew 12% sequentially to 60,600 barrels of oil equivalent per day. Production in Giddings grew 39% sequentially with oil production Giddings growing 70%. Total production exceeded the high end of our earlier guidance as did production at Giddings did a better than expected well performance. Looking at the quarterly cash flow waterfall chart on Slide 7, we began the fourth quarter with $149 million of cash and generated $90 million of cash flow from operations before changes in working capital. During the quarter, we sold our equity interest in the ironwood gathering system at Karnes for cash proceeds is $27 million. The transaction has no impact to our operating or transportation costs at Karnes. Our D&C capital included leasehold costs – including leasehold costs was $41 million during the quarter. We repurchased 2.4 million shares of our common stock during the fourth quarter for $16 million or approximately 1% of our total shares outstanding. Including the recent additional 10 million shares authorized for repurchase by our Board, we currently have 13.5 million shares remaining under the total repurchase authorization. We generated $44 million of free cash flow during the fourth quarter and ended the year with $193 million of cash on the balance sheet. As Steve discussed and based on the expected uses of our free cash during the year, including small – including potential small bolt-on property acquisitions, share repurchases and a dividend payment mid-year, we did not plan to build significant amounts of cash during 2021. Our $400 million of gross debt is reflected in our senior notes, which did not mature until 2026, and we do not expect to issue any new debt. Magnolia has an undrawn $450 million revolving credit facility and our nearly $650 million of total liquidity is more than ample to execute our business plan. Our condensed balance sheet and liquidity as of year end 2020 are shown on Slide 8 and 9. Turning to Slide 10 and looking at our unit costs and full-cycle margins, our total adjusted cash costs including interest are under $11 per BOE. Our DD&A rate is declined to roughly $8 per BOE helped by Giddings well costs, which had declined by almost 30% as we were drilling wells twice as fast compared to a year ago levels. Well productivity at Giddings has continued to improve. And so we're seeing better results with lower costs as is evident through our lower F&D costs. Our full cycle costs for the fourth quarter of $18.75 per BOE declined by 42% compared to last year's fourth quarter. Our full cycle margins doubled in the most recent quarter compared to fourth quarter 2019, and despite lower product prices. We would expect our margins to rise significantly based on current product prices and maintaining a full cycle cost structure at around the current levels. Turning to our year end 2020 reserves and D&C costs on Slide 11. Magnolia had a very successful organic drilling program during last year. The drilling program added 30.4 million barrels of oil equivalent after adjusting for acquisitions and excluding price related revisions. Our 2020 capital for drilling and completing wells totaled $195 million in 2020 resulting in proved developed F&D costs of $6.41 per BOE and replacing 135% of our 2020 production. This F&D level is supportive of our current DD&A rate for our asset base. Turning to guidance for the full year of 2021, we continue to expect our total capital spending for drilling completions and facilities to be between 50% to 60% of our adjusted EBITDAX for the year. As Steve noted, our current product prices or percentage of capital outlays would likely be at the lower portion of that range. We expect to run one operated rig in Giddings and planted to drill and complete between 20 wells to 24 wells during the year on multi-well pads and primarily in our initial core area. We plan to complete 10 DUCs in the Karnes area, most of which should be brought online during the first half of the year. Non-operated activity at Karnes is expected to increase modestly compared to 2020 levels. We produced 61,800 BOE per day during last year and our 2021 capital and activity plan is expected to deliver mid-single digit production growth on a year-over-year basis. Our fully diluted share count of approximately 255 million shares in the fourth quarter of 2020 declined by nearly 3% from the prior year. We would expect our fully diluted shares to continue to decline through this year as we were purchased our shares. The combination of mid-single digit organic production growth and the continued reduction in our fully diluted shares is expected to result in production per share growth of approximately 10% this year. Looking at the first quarter, we expect our D&C capital to be approximately 50% of our adjusted EBITDAX, although Steve said, it's running a bit lower right now. The majority of our operated activity during the quarter will continue to be focused on Giddings. In Karnes, we plan to complete – we plan to start completing some of the DUCs in the latter part of the current quarter with most of the production benefits seen in the second quarter. Production in the first quarter is estimated to be approximately the same as the fourth quarter levels, which incorporates a rough estimate of downtime due to recent impacts of cold weather in the field. In addition to the weather-related impact on production, we're also likely to see a modest amount of additional costs associated with these outages related to repairs and other items. Oil differential should be around $3 per barrel discount to MEH and similar to historical levels. In summary, Magnolia is well positioned financially into this year and we expect the positive operation momentum gained from Giddings results last year to continue to benefit our results into 2021. We're now ready to take your questions.
Operator: [Operator Instructions] The first question comes from Umang Choudhary with Goldman Sachs. Please go ahead.
Umang Choudhary: Good morning, and thank you for taking my questions. My first question is on free cash flow allocation framework. You have mentioned that given your strong balance sheet and favorable results in Giddings, bulk of the free cash flow towards share repurchase, dividend and small bolt-ons versus big acquisitions. Can you provide a framework in terms of how we should think about free cash flow allocation going forward? And how are you thinking about potential between – like the flex between share purchase and dividends?
Steve Chazen: So as we looked at it – so historically, we had a fair percentage of the cash flow went to acquisitions. We really don't need acquisitions at this point. They're generally dilutive to us because our finding costs is so low that we couldn't duplicate that kind of finding costs in an acquisition. There might be some acreage or something near our stuff, but to buy producing assets is probably dilutive to our numbers. So you should think that there might be some small things there. I don't know how much because – but there's nothing right now. We're probably not going to build any cash. And so there'll be a small what we would view as sustainable to semi-annual payments or dividends. Our interest expense is only about $25 million, $26 million a year. So, we can out of whatever you want to say as our EBITDA. So I think that it'll be a small number relative to that. At the end of the year – a year from now, we'll look at how much in addition to the semi-annual dividend we need to pay. I don't have a fixed number. It really depends on how successful we are in reducing our share count. If we can maybe talk down the stock or something and buy stock on weakness or that sort of thing, we will be looking to do that in size. Otherwise, we'll do it at the 1% quarterly rate. So I think we're – we don't really know how to answer your question of how big the dividend could be. We would prefer to put the money to work and basically increasing the stock price. But we also see a need for dividends going forward, but if the current product prices hold, there'll be a fairly sizable thing, special payment over and above the base dividend a year from now. So we're not going to hoard cash. We got plenty of cash for what we need at this point. So it just depends on how successful we are in the share repurchase. I think the 1% number – 1% a quarter you should view as a minimum number, not the maximum. I don't know if that's helpful or not, but…
Umang Choudhary: That is super helpful. Thank you. My follow-up is on the proved developed reserves. You have highlighted attractive F&D costs to a sub $7 per BOE to add proved developed reserves in 2020. Well cost in Giddings is expected to be lower in 2021 versus 2020, wanted to get your thoughts on 2021 expectations with respect to productivity and cost. You highlighted that there's potential for both of them to improve here. And also if you can provide the oil mix off the 13 million proved developed reserve which you added in 2020, what is the oil mix of those reserves?
Steve Chazen: We'll get somebody be filed in the K here in the close of business, but Chris will give you the percentage here in a minute. We think the finding costs for the mix that we are ultimately anticipate between Giddings and Karnes will be similar to what it was this year. We give you one year of pads basically this year for pads. So, you could look at that number and come up with sort of a very conservative number from looking at what we say we're going to add this year as we move from – as those pads moved to PDPs. So I think that we sort of tell you that, and we'll give you here this oil number in a minute.
Chris Stavros: We can give you the total proved reserves. We're about 45% oil. I don't have the PDP breakdown on oil. We can reach out to you after the call.
Umang Choudhary: That'd be helpful. Thank you so much.
Steve Chazen: Anything else?
Operator: The next question comes from Zach Parham with JPMorgan. Please go ahead.
Zach Parham: Hey, guys. Thanks for taking my question. I guess first you guided to about 5% to 8% total production growth in 2021. Most of your activities in Giddings, but you do have the 10 DUCs in Karnes in the first half, which will be a little oilier, I guess, what would that imply for oil growth on the year or an oil mix for the year?
Steve Chazen: To some extent, it depends on how we drill wells. We can sort of manage that to almost anything we want. So, I think for planning purposes, you could use the fourth quarter numbers and percentages as a guide, but understanding that, for the fourth time in my 40-year career, gas prices were to be decent. We are a lot of gas locations we could drill in parts of Giddings. And we may drill some more of these wells, so-called gas wells that produce 500 barrels a day of oil. Depending on where we are in the second half of the year, we're laying out our program for the back half of the year. And we don't know how much we're going to spend in development and how much an exploration to prove up additional areas. And that's why we're sort of reluctant to talk about the numbers. Obviously if we spent it all in development, we would on the high end of the outlook, the guidance we're giving you, maybe through the guidance.
Zach Parham: Thanks. So I guess that's when you talk about drilling 20 to 24 wells in Giddings in 2021.
Steve Chazen: That's a single rig’s results.
Zach Parham: Okay. So that's not necessarily in the plan for 2021.
Steve Chazen: No.
Zach Parham: And it sounds like you're not ready to give a split of kind of development between the core area and the delineation area. You're more waiting to see what happens with commodity prices in the back half of the year?
Steve Chazen: Yes. Commodity prices and we have a plan, I mean, we don't want to waste money. And so, we want to spend on delineation or whatever you want to call it or exploration. However, we want to describe it, in a way that is thoughtful and doesn't overwhelm the program and confuse people. So we didn't think – our original thought was to add a mid rig at the beginning of the year, drill pad in Karnes. And then go and do drill in Giddings. But the Giddings results have been so strong that the fact with the Karnes wells are not competitive. And so we're thinking how we're going to manage the back half of the year in a way that is thoughtful.
Zach Parham: Got it. Thanks for the color. That's all for me.
Operator: The next question comes from Steven Dechert with KeyBanc. Please go ahead.
Steven Dechert: Hey, guys. I just want to ask about the six new wells in the core area of Giddings. Is there anything that's really driving that at better performance there that you can even point to? Thanks.
Steve Chazen: Over time we learn how to drill and complete the wells better. There's nothing physical about it. It's simply we learn where to – people tend to view all even in the Permian, they tend to view all this as the same from well to well, is really not. And so, as you accumulate more data, it become more efficient in deciding where and how you're going to complete the wells, also make you pick better locations. But it's fundamentally caused by experience. So it isn't really caused by anything like phase of the moon or something.
Chris Stavros: But clearly less drill time in the hole…
Steve Chazen: Less drill time – yes. When you spend less time in the hole, you get better results. I mean, that's just a fact. Yes.
Steven Dechert: Okay, great. That's all for me.
Steve Chazen: Thanks.
Operator: The next question comes from Dun McIntosh with Johnson Rice. Please go ahead.
Dun McIntosh: Good morning, Steve. Appreciate the color on the dividend and the share repurchase program. I was wondering if you could maybe kind of give some context for how you would prioritize those at higher oil prices. If it all keeps sticking out to 65 or 70, or maybe we have a pull back here to 50 or 55, kind of when it comes to the dividend and the share repurchase, where do you kind of stack those up?
Steve Chazen: Well, we have some fundamental views about the company's earnings potential over time. And so if there's a pull back in oil prices, we obviously didn't plan for $60 oil going into the year or whatever it is. And so, we continue to plan basically for significantly lower oil price. We get more cash, we would prefer to use it to repurchase shares because that gives us more growth per share. There's no real – we only have $400 million of bonded indebtedness. There's no real debt to pay down and our interest expense is $25 million. So I just don't – that's not a very likely use. And so if we have excess cash we probably distribute that. It's also, I think, useful to remember that the company is the purchaser of shares, not seller of shares and the management are purchasers of shares, not sellers of shares. So our goals are not necessarily to push the stock price up as much as possible. That is our goal. Our objective is sort of the opposite. On the other hand, I own 7 million shares. So, my wife thinks dividends are great.
Dun McIntosh: Okay. Thank you. And then maybe just one operational question, sounds like you all are pretty enthused as what you've been able to get done at Giddings. In the past, you've talked preserving Karnes inventory for higher oil prices. Just if you could kind of revisit that, are we there today? It sounds like, you've got some pretty set plans for at least the first half of this year, but at what point would you – break that in Karnes?
Steve Chazen: You understand that the Karnes wells don't compete with the Giddings wells. Finding cost is much higher and the payback is similar. So the rates of return are much higher in the Giddings wells. And so, you allocate – when we talked about this other plan, it was less obvious, at least less obvious to us. And as long as that remains true, that's what drives our whole plan is the returns if you will on Giddings wells, as long as they stay sort of like this, we're going to be light on Karnes, and heavier on Giddings, and we're going to avoid doing – PDP type acquisitions, because it doesn't compete. If you have an industry that's challenged over time, shall we say, you need to really be cautious about spending money, just for growth. Just to add, and not generating real returns. If you look at our EBIT calculation for interest and taxes, the DD&A rate is sort of like the finding cost, a little bit more, but sort of like it. So, the earnings are actually real earnings for us and indicative of what the program looks like in an earnings basis. And we're going to try to make that better over time. But we don't want to degrade that either by just throwing a bunch of money at staff. The Karnes well is like the Giddings well will be there for a long time, but locations are not going away.
Dun McIntosh: Okay, thank you.
Operator: The next question comes from Noel Parks with Tuohy Brothers. Please go ahead.
Noel Parks: Good morning,
Steve Chazen: Good morning.
Noel Parks: Actually, talking about where we are with crude prices have been improved as much as they have, I think, we're at nearly $15 more now than where we ended the year. I was curious about the non-core inventory at Giddings. And in this price range, does any of that become a possibility?
Steve Chazen : Chris?
Chris Stavros: What inventory?
Steve Chazen: You cut out.
Noel Parks: So sorry, the inventory outside the 70,000 core acres, with significantly oil prices does any of that come close to being in play now?
Steve Chazen: Well, we drilled two wells way outside it, in those two so-called gas wells. So, those are clearly economic in this environment, and there's probably more of that also. They had a lot of oil, as we said, almost 600 barrels a day of oil. So, the short answer is yes there is, but on the other hand, we're maximizing our returns per dollar, and we're not going to run out of these high return locations anytime soon.
Noel Parks: Great. And sorry if you touched on this already, but are you – your long-term planning for crude, are you sticking with sort of mid-40 as your baseline number? Or are you…
Steve Chazen : Yes, 45 to 50 and, $2.50 or so for gas.
Noel Parks: $2.50 for gas. Okay, great. I think that’s not new.
Steve Chazen: I wouldn't take those numbers to the bank. Those are planning numbers. I have, not a great record except in gas of predictable prices.
Noel Parks: No. Fair enough. Thanks a lot.
Steve Chazen : Thank you.
Operator: Next question comes from Nicholas Pope with Seaport Global. Please go ahead.
Nicholas Pope: Good morning.
Steve Chazen: Good morning.
Nicholas Pope: I had a question on your lease operating expenses. It was a lot lower than I was expecting. So, look great for the quarter. Seen a lot of other operators as kind of activity started to restart in the second half of the year that number climbed up with workovers and everything else, just activity ramping up, oil dropped a lot from third quarter. And so, I was hoping you could talk a little bit about where operating expenses are, and as activity has ramped up where we – I know you haven't guide to that necessarily, but like, where should we expect third quarter and fourth quarter that drop to be expected to board?
Steve Chazen: So, the workover activity sort of a real, it comes and goes and makes the numbers lumpy. But the other point is the production is up considerably. So, the cost per BOE has come down. We also made some – when we went through the valley of death, in the second last year, we looked at every nickel, we were spending on production and we found some things that we should have done, that we didn't do, that we're now doing, rightsizing compressors and that sort of thing fundamentally lowering the number. So, we work on what we can fix. We work on operating cost, we work on G&A per barrel, those are things that sort of in our control and we keep our capital under control to our finding cost stays under control. So, we're very focused on this, this EBIT calculation. So, it could be – there'll be probably a little more this first quarter from the – fixing the lights for the wells, but not a lot more, but a little more from that. And production, it will be the same similar to the fourth quarter, otherwise it would have been up if it wasn't for the loss for the leak.
Nicholas Pope: Got it. That makes sense. And I wanted to clarify there was a comment about the Ironwood sales, did you all see it – you don't expect transportation costs?
Steve Chazen: No, it was really a passive investment that came with the original deal. We didn't do anything to encourage. Somebody who wanted bought out the people who were running it before, and they offered us the same deal. We weren't generating any cash from it. We never generate any cash. We generated a small amount of earnings, but not much. And we thought that we could use $25 million or $27 million more than they could. So, we took it, but didn't do any new contracts or anything like that because, it was always partially owned. So, we owned about a third of it. And somebody else had it. So, we always had a contract and it's a market of our contract. And we're the major customer on the line. So, you would guess that we would know what our activity would be, and maybe better than somebody who just bought it.
Nicholas Pope: All right. Well, that's all I needed. I appreciate it.
Steve Chazen: Thank you. 
Nicholas Pope: Thank you.
Operator: [Operator Instructions] The next question comes from Neal Dingmann with Truist Securities. Please go ahead.
Neal Dingmann: Thank you. Steve my question, you have so much acreage and obviously good acreage in Giddings. Would you all consider drilling partnerships or anything of the like in that order, maybe advanced that acreage more?
Steve Chazen: Generally, I don't like to give away money. So, the problem with dealing with the people who do that, this is why the deal I used to have a guy I worked for every time I got into some trouble, he would say, well, you're going to the play in the mud, you expect to get your boots dirty. So, if you are fooling around with these guys, you are going to get your boots dirty. The goal is not to make the business more complicated. We run very straight forward, simple business. If he brought somebody in, he would want some of the – $5 finding cost well. So why would I do that? Even though it stretched out over a long period of time, the value is still there. And I just don't – I always, when we started this three years ago, I used the only way anybody has ever made money in the oil business, you could guess oil prices correctly. But I don't know anybody, whoever was able to do that successfully over time. So put that aside. The second thing would be that you've got optionality for very low price. That is – and in my prior employer, that was a thought process there, and here is same thing. I knew that there was a lot of oil in place in Giddings. I didn't really know how to get it out or whether it would be successful or not. But I knew I wasn't paying much for the option. And to sell the optionality to some guy who is going to dirty my boots, strikes me as, it’s not a lot of fun.
Neal Dingmann: I like the answer. And just what you and Chris were thinking these days on littering the hedges, or just in hedges in general?
Steve Chazen: I looked at other people's results, and I noticed huge losses on mark-to-market on hedges, which goes to the principle that estimating – predicting oil prices is difficult, especially about the future. And gas, I've always had a sort of a negative view. And so, we hedged a little bit of gas. But we don't really need to buy the insurance. Oil fluctuates over time. And if you don't get when it runs up and you don't get to read that, you are going to head wind up with below average prices. I mean, I don't believe that some guy Goldman Sachs is in some sort of full philanthropic activity where he is selling you this protection for free. He expects to make money. Sometimes you might beat him. But on average, if you do it all the time, you are going to get the below average price for the selling protection insurance. And we don't need to buy the insurance, that's why we carry low debt and the cash. We went through the second quarter, it wasn't fun. But we went through the second quarter, without really using, except for some working capital changes, not really losing anything, we could have survived that.
Chris Stavros: Yes, all hedged, yes.
Steve Chazen: And we were on hedge. There’s some things that we know how to do, forecasting oil prices is not one of them.
Neal Dingmann: No, I'm glad to hear. It seems like the banks only wants to make money on those. Thanks Steve.
Steve Chazen: Thank you. Go ahead.
Operator: This concludes the question-and-answer session. The conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.